Operator: Good afternoon, ladies and gentlemen. Welcome to the Elutia Inc. Fourth Quarter and Full Year 2024 Financial Results Conference Call. Please be advised that today's conference call is being recorded. I would now like to hand the conference call over to David Carey, Fin Partners. Please go ahead.
David Carey: Thank you, operator, and thank you all for participating in today's call. Earlier today, Elutia Inc. released financial results for the quarter and full year ended December 31, 2024. A copy of the press release is available on the company's website. Before we begin, I would like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that do not relate to matters of historical facts or relate to expectations or predictions of future events, results, or performance are forward-looking statements. Forward-looking statements, including without limitation those relating to our operating trends and future financial performance, are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the risk factors section of our public filings with the SEC, including Elutia Inc.'s annual report on Form 10-K for the year ended December 31, 2024, to be filed with the SEC and accessible on the SEC's website at www.sec.gov. Such factors may be updated from time to time in Elutia Inc.'s other filings with the SEC. The conference call contains time-sensitive information and it is accurate only as of the live broadcast today, March 6, 2025. Elutia Inc. disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. Also, during this presentation, we refer to gross margin excluding intangible amortization, which is a non-GAAP financial measure. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP financial measure is available in the company's financial results release for the fourth quarter and December 31, 2024. It is accessible on the SEC's website and posted on the investor page of the Elutia Inc. website at www.elutia.com. And with that, I will turn the call over to Elutia Inc.'s CEO, Randy Mills.
Randy Mills: Thank you, David, and good afternoon. Welcome, one and all, wherever you might be joining us from today. Since we preannounced so much of this, I'll do my best to keep my remarks short and brief, but like the preacher said, once I get started, I often get too lazy to stop. We are really on a tear here at Elutia Inc. Our mission is humanizing medicine so that patients can thrive without compromise, and we do that by pioneering the drug loading biometrics. We are able to take really complex, highly engineered biological matrices and couple that with the power of active pharmaceutical agents to come up with products that we think offer really significant and unique value propositions to some of the most challenging procedures that exist in medicine. We are a commercial stage company, and we have two platforms: EluPro, which is our flagship product, our flagship drug loading biologic for pacemakers and internal defibrillators and neurostimulators, and behind that, we have our emerging Simpliderm product that's often used in breast reconstruction. But we are a company with a lot of focus and a lot of discipline. And so even though we have a technology that can be broadly used across a number of different platforms, we have a very focused strategy for growth, and it goes like this. One, prove out the commercial value of our drug loading biologics technology on our EluPro product platform. Two, drive continued growth with our Simpliderm product line, and then three, really explode the value of this technology by taking our drug eluting biologics and adding it to other product lines, including our Simpliderm product line specifically for use in breast reconstruction and other surgical repairs. That's the high-level strategy for the company. But today, I'm gonna spend really all of my time focusing on EluPro and the amazing work that we're doing there because that's really a tremendous value driver for the company. So launching EluPro, it's going on right now. We are now FDA cleared for EluPro to be used in cardiac implantable electronic devices as well as neurostimulators, and while it took a while to get here, we've got a real winner on our hands, as I think, I hope I'll be able to communicate to you through these upcoming slides. A little bit about the market dynamics that we have underlying this field of using EluPro to protect a pacemaker that's getting implanted into somebody. So each year, there's about 600,000 pacemakers and internal defibrillators that are placed in the United States. Up until now, Medtronic had the only antibiotic eluting envelope that's been available to electrophysiologists for use. It's TYRX, a synthetically based antibiotic eluting envelope that does about $200 million a year. And like I said, that was up until now. Medtronic, from a market dynamic standpoint, they have about 40% of the pacemaker market. So that means they're in about 40% of pacemaker cases. And so they had actually a really nice platform in which to introduce TYRX. And they've done a nice job creating the market for device protection and this concept of an antibiotic eluting envelope going around a pacemaker. But that leaves 60% of the market: Boston Scientific, Abbott, and BioTronic, that don't have an antibiotic eluting envelope. And they really don't like the idea of having a Medtronic TYRX envelope going around their pacemakers. And this isn't something that happens sort of as a one-off. We estimate now that there's about $85 million a year of TYRX that goes around pacemakers of either Boston Scientific or Abbott. I'll just share with you, you know, when I say things like, you know, a rep, just the last thing they wanna see is a piece of TYRX around one of their pacemakers. I'll share with you. This is an actual quote I got from a rep. He came up and said, "I don't want TYRX on my cans. It's like ketchup on turkey. It just doesn't go." And I couldn't agree more. We don't want TYRX on their cans either. And now we actually have a product that we can offer to them that we think isn't just as good as TYRX, but it's actually a much better product. Now let me sort of explain why. So we have done this marketing survey in the past. It said 88% basically of TYRX users that were polled said they would switch some or all of their business over to EluPro once it was released. But now that we're out in the field, right, we're actually getting to engage with these electrophysiologists on a day-to-day basis with an antibiotic envelope and with a really different offering and a different approach to delivering the same powerful antibiotics, right, foramp and minocycline, but in a completely different envelope that's not a synthetic base, but instead a natural biologic base that fully conforms to the can, we actually get to understand why they're so interested in a different solution. Where this 88% comes from? These are actual direct quotes from electrophysiologists, and they talk about this surface of TYRX being a very rough surface. It's so rough, in fact, that it doesn't slide easily into the pocket. So imagine you're making an incision into a patient, you take your envelope, you put it, or you take your pacemaker, you put it inside an envelope, and then you're trying to put that into this incision, but it's got this really rough texture. It doesn't slide easily into the pocket. And one of the quotes that really sort of stuck out to me was, like, it reminds me of the no-slip coating you sometimes see on garage floors. And you know what? We think we can do better than that. We think that patients should be able to have access to an antibiotic envelope that delivers these powerful antibiotics that protect them from infection, but it does it in a way that enables them to thrive without compromise. And that is what we do at Elutia Inc. We are humanizing medicine so that patients can thrive without compromise. And EluPro, we think, is a really great example of doing that. So in the fourth quarter, which I guess technically we're reporting on now, in the fourth quarter, that was our initial pilot launch of EluPro. We had just received clearance from FDA, and we needed to basically crawl before we walk, before we run. And so that's what our pilot launch was about in the fourth quarter. And we had three main goals that we wanted to demonstrate in the fourth quarter pilot launch. One, we wanted to demonstrate operational excellence. Can we make and ship and distribute this product? Right? Sounds simple and like blocking and tackling, but if you can't do that, you can't win the game. Second, we needed to obtain hospital and GPO approval. You can't sell a product inside a hospital unless you can get through the value analysis committees and you can't get through the contracting organization that make it available to the physicians to use. And then third, we wanted to drive clinical uptake of the product. Can you actually turn it into sales? Because the physicians use the product and not just once, but will they use the product over and over again? And we are really thrilled, as I think you will see, our pilot launch exceeded all of our expectations across all three of these. And I want to thank the team for doing such an exceptional job with this. In the background of this, and I know I don't talk much about it, but we have a lot of ongoing business development activity. And we are engaged in strategic discussions right now with multiple partners. In time, we will have more to say about those, but right now, we don't, and I hope you understand. Okay. So let's dig into what we do talk about and what is so important. Is that we demonstrate the value of EluPro. So the first thing we need to do is demonstrate operational excellence. Fortunately, you know, we had a bit of a head start here. So we're manufacturing EluPro in the same facility that we've been manufacturing our base Kangaroo products since 2013. So we had a good head start there with that team in place. That's a facility that has a capacity to do about $140 million of EluPro sales without needing much in the way of additional configuration or expansion. So we've got a nice base facility to grow off of. We're also scaling up and growing into what ultimately we believe we will get to, which is a gross margin north of 70% with this product. Super important was that we completed our FDA site inspection of this facility with no deficiencies noted and were able to commence commercial production and did that in full compliance with the regulatory standards, and we're really proud of the organization for not just running an operationally efficient organization but one that puts the quality of product above everything else. Okay. So moving forward from an operational excellence standpoint, we are in a situation of demand, where we are needing to significantly increase our production capacity earlier than we had originally anticipated. One of the ways that we're gonna be doing this with specificity is we're gonna be adding to the work that we bring in-house the ability to manufacture the actual drug eluting disc technology itself, and that will actually help us not just lower our cost of goods fairly significantly, but it will also increase our overall capacity, which every day, it becomes more and more apparent that we need that in order to meet customer demand. We're also increasing our testing lab capacity, and this actually has to do with reducing cycle time. Again, all in service of making sure we can get the product manufactured within perfect quality standards and then hit service levels so all of our sites and all of our physicians have the product available to them when they need it. Okay. Moving on now to obtaining hospital and GPO approval. We had a goal in the fourth quarter of 25 acts. We wanted to be able to get through 25 acts and on contract. We actually ended the quarter with 67, up and running. About 15 new approvals a month. And the reason we're having such significant success getting through the VAC process right now has really been driven by two separate things. One of them, we actually expected, and that was physician support. So we have a lot of physicians out there. Right? It's 88% of TYRX users are saying, hey, I'd like to be using EluPro. Well, it needs to get through the VAC dock in order to be able to have this product on the shelf. Well, tell me what I need to do. Who do I need to talk to? And we've been getting a lot of support navigating the product through the VAC process, and that's been helpful. But the other thing, and this we saw this both with the VACs as well as with the GPOs, is that the hospitals and the GPOs really like the idea of having EluPro on contract so that they have an alternative to TYRX. Purely, they just don't like having a sole source for any product. And that's really been gratifying, and that's frankly been helpful. It's been a bit of a tailwind in this whole process. So as we look today, not just updating for the quarter, but getting you sort of real-time up to speed, we're about a hundred centers that aren't just through VACs, because we don't count that. That's too easy. They actually have to get through the value analysis committee and actively be ordering the product. We have about a hundred centers that are already through that and are actively ordering the process. We are also through four GPOs, including Premier and S3P, and we have others coming in that we expect that our conference call coming up for the first quarter, we'll be able to have several new announcements about that. All that to say, we are having a lot of success on this second goal, which was obtaining hospital and GPO approvals. The team really knocked the cover off the ball on this one, and we're super happy about it. Okay. None of that would matter if the physicians didn't trust the product, if the physicians didn't think it was the best thing for their patients, and there wasn't the corresponding clinical uptake with it. But we've been seeing a tremendous amount of success here, expanding our EluPro nation. There's a lot of pride in putting EluPro on. Our team's obviously very excited about it. But our physician partners in this have been also very excited. The operating room teams coming together and say, hey, do we get our EluPro picture? You know, we want our EluPro picture, you know, to show that we're the first. And the one in the middle there, really a really gratifying picture. That's actually the first usage of EluPro in a pediatric patient. If you think about that, there could be no more meaningful, higher value, more precious life than that of a child, and the group down at Joe DiMaggio, entrusting their patients, their pediatric patients with EluPros was really a super meaningful event for us as a team. As I said before, we're now being used not just with Abbott and Boston Scientific and BioTronic, but actually across all of the major cardiac implantable electrical devices. Yes, even Medtronic pacemakers are going in with EluPro around it, and we're happy to do that. We think, obviously, the best thing for the patients. We're also being used now in neurostimulator device protection as well. That's not a market that we're actually doing a lot of active outreach in yet. We're trying to stay focused in the cardiac space, but we're actually getting a lot of pull into that space, and so that's gratifying as well. We go and we look at the actual numbers here. Uptake. We're seeing this strong adoption. So in the fourth quarter, our bio envelope sales rate, this includes Kangaroo as well as EluPro, up 18% for the quarter that had been stagnant actually for now a number of years. So that's a pretty significant uptick for us. Just in that quarter. And we think we probably didn't have most of that quarter, we didn't have that many sites activated. That was a pretty significant uptick. EluPro during the quarter accounted for about 30% of bio envelope sales. So that's going from zero to already accounting for about 35%. But what we thought was really an important and interesting statistic. We can obviously, we know the accounts that we have sold Kangaroo into for quite a long time. Right? Sort of same centers, sales. And when we flip that center over to an EluPro center, and those centers, sales increased 65% when we flip into a new center. And that's a big deal. And it's what we would have expected. Right? It's a better, more useful product that you might be thinking, well, maybe that's a stocking order. Actually, it's the opposite. We saw that the initial stocking orders were actually only about 25% higher. It's actually the repeat orders that are driving it up to this 65% and growing level. So we really think we have a winner here. We've got a product that's going into a market where there was only one dominant player doing $200 million, but it was really kind of a skewed thing because since it's, you know, it's Medtronic's product and Medtronic makes a pacemaker, the other companies don't feel all that great about having a Medtronic product around their pacemaker. And so we think if we just had a me-too product with EluPro, we'd be able to go into this $200 million of existing business and be able to take a fair share. But we don't think we have a me-too product. We think we actually have a significantly better product. And we think our initial data is bearing that out. So we're really excited about the way this is going. We've also done a little bit of work on the sales model. So as you guys might remember, we have a hybrid model. We have 12 experienced Elutia Inc. territory managers that manage the different territories in the country, as well as 35 independent reps. And we think that blend gives us the ability to cover the entire country, but in a pretty efficient way. We've seen that that actually is also playing out. So if we look in the quarter, how our 1099 or our independent reps performed, they accounted for 50% of the EluPro sales in the quarter. And what that's showing us is why that statistic was important is we can use the 1099 rep model to go in and efficiently penetrate these accounts. For us, it's an economically very efficient way of generating these sales, and we think it speaks to the value proposition that the product has, that we're able to do that with our group of 1099 reps. So driving clinical uptake, the third piece, and we're really super excited about how that went as well. So what are we doing moving forward? Here's the plan for the coming quarter or the quarter that we're in right now. One, continue to drive top-line growth of EluPro. That shouldn't come as a shock to anyone. Two, keep driving our VAC approvals, our value analysis committee approvals, and our GPO coverage. We have seen that VAC approvals is a really, really good surrogate to top-line growth. If we can get on contract with a hospital, if we can get into a hospital, they'll buy the product. So number two, drive VAC and GPO coverage. Three, gonna be initiating, we've done all of this on our own. Little bitty Elutia Inc. all by ourselves. But this quarter, we're initiating our EluPro rollout with our distribution partner, Boston Scientific, that you guys know we've had for a while. We wanna make sure we do an orderly rollout of EluPro through the Boston Scientific team, and there are 900 reps that could easily bury us in demand if we're not careful. And so we are initiating the EluPro rollout with them this quarter, and we're really, really excited about the impact that they're going to be having on these sales as well. Because of all of that, we need to keep increasing our production capacity. This is ahead of the schedule that we thought we would need. We are outpacing what we thought we would need from a production capacity standpoint, a good problem to have. The operations people gladly take on the challenge. And in doing that, we'll naturally be lowering the cost of goods as we scale up. There's just a lot of natural absorption that takes place there. And then lastly, initiating our registry for data collection of our clinical subjects for other usage that we're gonna have. Then lastly, and I'll turn it over to Matt after this, I promise, come visit us at HRS. It's in my hometown of San Diego this year. We're gonna be having an event out there. We'd love to see you at the booth, and if not at the booth, at one of the events we're holding and talking to you and maybe get a chance to speak with some of our electrophysiologist physician partners and learn more about why EluPro is such a home run product for us. With that, I'll turn it over to Matt Ferguson, our chief financial officer, for some financial updates.
Matthew Ferguson: Alright. Thanks very much, Randy. And I'll just give you a summary of our financial results for the quarter and a few of the highlights for the year. And then we'll get into your questions. So, really, top of the list, as Randy mentioned, $2.7 million for bio envelope or device protection sales as we call it. In the year, in the quarter, that is. That was an 18% growth over the same quarter of the prior year. Just under $10 million, $9.9 million for the year, which was also solid growth at about 5% for the full year. But really more than anything, what we're doing is, as Randy spoke to, we're really laying the groundwork for what we believe will be a great 2025 for this product line and for the whole company. The other category of sales, main category of products that we have is Simpliderm and our women's health division. There, it was a lighter quarter, $2.3 million, which was down year over year. But there, that product line is somewhat concentrated in where the sales come from, and so we do see some ups and downs in the quarter. But for the full year, we actually were at $11.6 million, which was up 12% year over year. So that also is expected to be a strong growth driver for 2025. Rounding it out, cardiovascular, which we have partnered with LeMaitre for the complete distribution of that in the US. That was at half a million dollars for the year for the quarter. And compares to $600,000 in the 2023 fourth quarter. So down there, that leaves us overall at $5.5 million in revenue for the quarter. Down about 7% on a full year basis, the comparison to the same quarter of the prior year. We're at about $24.4 million for the year, that's down just about 1% from $24.7 million in the prior year. Moving into gross margin, our GAAP gross margin was 43% for the quarter versus 36% in the prior year, so nice increase there, but probably more importantly, backing out the non-cash amortization expense, we were at 58% for the quarter versus 51% for the year before quarter. And so that was nice growth that we saw in our gross margin year over year. And just breaking that down a little bit further, it's all in a relatively close range between our three different product lines, but just breaking that down for you. It was 60% for the device protection portion of our business, 55% for Simpliderm, and 64% for cardiovascular. Operating expense, very consistent year over year, $10.8 million in the fourth quarter versus $10.6 million a year ago. That all leads us to a loss from operations of $8.4 million versus $8.5 million. So, again, very consistent year over year. And then again, a better indicator probably of the operating portion of our business, the adjusted EBITDA, which we have a breakdown of in our press release, that was $3.8 million as a loss for the quarter versus $4.5 million for the year-ago quarter. So a good improvement year over year as we continue to grow the business. From a cash point of view, we ended the quarter at $13.2 million in cash. So larger cash usage during the quarter than what we have seen in some of the recent quarters. But there was a good reason for that, and that's that we were able to settle a number of the outstanding lawsuits that we had during the quarter and get those resolved. And so that contributes to the cash usage, but it also is a positive thing in that we are very much getting our arms around that remaining set of cases there. And then very importantly, after the end of the quarter, so it doesn't show up in our financial results, but in early February, we did a registered direct offering where we raised $15 million in gross proceeds, and so again, while that doesn't show up in our year-end cash balance, that has a nice addition to our overall cash balance in terms of where we currently sit. So with that, I will pause there, turn it back to the operator to tee up any questions that may be out there.
Operator: Thank you. And at this time, we'll conduct our question and answer session. To ask a question, press star one on your telephone keypad. Participants using speaker equipment, we'll pause for a moment while we pull for questions. Thank you. And our first question comes from Ross Osborn with Cantor Fitzgerald. Please state your question.
Ross Osborn: Hi, guys. Congrats on the quarter and really successful pilot launch. Thanks for taking our questions. So starting off, can you spend some time discussing to what extent Boston will be involved with EluPro in terms of the amount of registered in your envelope? And any marketing equity.
Randy Mills: Yeah. Ross, so the way I'll answer that is so we have an agreement with them right now for the distribution of the product where we basically partner with them to leverage their 900 reps to distribute the product into the electrophysiology CRM space across the United States. Right? So it's limited specifically to the United States there, and the way that arrangement works is when their reps basically partner with our territory managers. Keeping in mind, right, they might have a rep and I'm kind of making this up, but they might have a rep for roughly, let's just call it three hospitals for every rep. Sometimes it's, you know, there's even more higher concentration reps than that. Sometimes it's less. But let's just say that they have a rep for every three hospitals. So our territory managers will be partnering with multiple Boston Scientific reps, and the first thing they do is they partner to get access into the hospital. So we talk about VAC approvals and the number of VACs we're on contract with. We're on contract now with the hundred. There's actually 4,000 centers in the United States that are hospital-based that implant a hundred or more pacemakers a year. Right? So even though we're in a hundred, we still have a fairly long way to go. It's the first thing that their reps really help us do is get in and get through those less frequently visited centers that we otherwise wouldn't be in. And then the second thing they do is it's a real top-of-mind kind of thing. Now our reps are really good at demonstrating the value of using a biologic envelope and why a drug eluting product has significant advantages in what the biologics can ultimately do. And you don't really need to be there in absolutely every case to make sure that there's consistent use of EluPro because it's a fairly easy product to use. You take the pacemaker and you put it into the envelope, and then you take all that and you implant it into the patient. That actually makes it easier to do. It really kind of glides in nicely. But what their reps will do is help in remembering, hey, I'd like to, I was, you know, I need to use an antibiotic envelope on this because there's, you know, something about this patient that's high risk. Hey. You know, we should use one of those EluPro envelopes. Yeah. Okay. Great. And the Boston rep can actually facilitate the use of that for that product. And when they do that, what they'll do is they sort of scan that product into the system, and then that enables us to then compensate them on a per usage basis. So we pay them a really nominal commission on every time an EluPro gets used. And so the system, you know, really works really well for both parties because they don't want anything to do with a TYRX envelope being used in their procedure, and, you know, we like the idea of EluPro being used, and so, you know, it's kind of a way of us being able to pay them and their reps for keeping Medtronic out of their cases. So that's how overall that arrangement works or at least the arrangement we have in place today. Because EluPro is a new product, you could imagine we are going through, there's training and a very specific rollout plan and all of that other kind of stuff. I'm not gonna go into more of that right now. We'll have more details on that coming up on our next, our first quarter conference call. We'll have a lot more detail about all this kind of stuff on that, but that gives you a sort of a picture on what's in place right now, and then any updates to that we'll have coming up in the first quarter.
Ross Osborn: Sounds great. That was perfect. And when will Boston commence distribution?
Randy Mills: Shortly.
Ross Osborn: Okay. Fair enough. And then realize you're not providing guidance there, Ross? You know, I think what's important there, sorry. I didn't mean to step on you, Ross. I think what's important there is they haven't yet. Right? So everything that we've done here, which is frankly all we could handle, you know, was able, we were able to do it just, you know, little old Elutia Inc. And I think that talks to the value of having a really good product that physicians wanna use mixed in with, frankly, the Switzerland strategy, which is we don't make a pacemaker. So we're not a threat to anybody. You know, we're not gonna put our envelope around your product and then come in and then try to steal your underlying pacemaker business away the next day. And those two factors team up to make a pretty attractive launch.
Ross Osborn: Yep. Absolutely. And then realizing not providing guidance, but how should we be thinking about utilization at accounts? Maybe it'd be helpful to relay how you view a high volume account versus a low volume account.
Matthew Ferguson: Maybe I could jump in there a little bit, Ross. This is Matt. You know, I think I would go back to some of the numbers that we provided in the past where we have about 400 accounts that have ordered, you know, there are Kangaroo accounts, and as we just reported today, we're up at about a hundred that are now ordering EluPro. So, I mean, that and then we also talked about how it's, we're certainly seeing more of the growth coming from EluPro, as you would expect, in the current quarter. And, you know, based on where we are Q1, that will just accelerate in Q1. We already know that that's gonna be the case as we sit here in early March with just a few more weeks left in Q1. So, you know, I guess when I think of a high volume account, I would say it would be annual usage in the hundreds, and we know that there are about 1,400 accounts in the US. So, you know, well beyond what we've gotten into already with Kangaroo that are over a hundred pacemaker and defibrillator procedures for the year, and, you know, another cut at that is we think there are about 500 accounts in the US that are over 500 procedures per year. So, and as Randy mentioned, at least 60% of that is not touched by Medtronic so far, and we actually have, you know, feedback from the market that there are a lot of TYRX Medtronic users that are very interested and are already switching some of their usage, and in some cases, all of their envelope usage over to EluPro. So, you know, so it's hard to put exact numbers on it, what we would say is a high volume account, but hopefully that gives you some sense of what we think is achievable.
Ross Osborn: Yes. That's exactly what I was looking for. And then last one for me, and I'll jump back in the queue. Realized the excitement around EluPro. But as you know, we are big fans of Simpliderm as well. Can you spend a little bit more time going over what occurred during the fourth quarter in terms of the deceleration in growth and the game plan there for 2025? Thank you.
Randy Mills: Yeah. So Simpliderm is a product that we distribute through two different mechanisms. The one is our independent network of our independent distributors. The other one is a relationship, a distribution relationship that we developed with Sientra. And, you know, that was, like, can't remember now. It was a couple of years ago, or so that we put that relationship in place. And that was a relationship that was just getting off the ground. But the idea there was Sientra was in about 23% of reconstruction cases, breast reconstruction cases, where a biologic is used almost every time. And they didn't have a biologic offering. And we thought that would be our, it would just sort of make sense, give them access to a really, you know, we think a market-leading biologic. And for us, we would have access to it's about $125 million of potential usage there. And so that was the rationale behind creating that partnership. And it's a non-exclusive partnership that, where we also, we go to pretty significant lengths to not step on each other's toes. So we're not competing against ourselves in the same accounts. And so it makes it, you know, the construct of that agreement doesn't allow us to sort of quickly expand into territories that aren't being adequately covered by one of us or the other. Instead, we try to do it, we try to, under this agreement, to do it a little bit in a little bit more planned and methodical way where we meet on a periodic basis and we say, okay, you know, not having success in these accounts. Maybe you guys wanna go in there or, you know, vice versa. Right? And that agreement was really, really working out well. And then, you know, unfortunately, Sientra went into bankruptcy. And they went into bankruptcy at a time that they were becoming a pretty meaningful part of our sales. Now, fortunately, the assets of Sientra were acquired in those bankruptcy procedures, or the, yeah, procedure. And out of it, that agreement has now been taken over by Tiger Aesthetics. And, you know, I would say just very candidly, we've had some growing pains. Right? We've had, first of all, they had a very difficult job to do. Taking over the assets of Sientra and, you know, holding that together and then figuring out how they wanted to run that business and what model they wanted, you know, to use when a company experiences a bankruptcy, you could imagine there's obviously some changes that are gonna need to take place, and there's some very obvious disruption that's also going to take place. And then for us, learning how to work together. They, you know, going through different personnel changes that they're trying to make and our people getting to know them and working with them has taken some time. And so naturally, we saw some of that disruption flow through into the end-user market in terms of volumes for us. Now with that said, we were still able to have that product grow 12% over the year. I know the fourth quarter wasn't great, but we're hoping the fourth quarter was actually a little bit more of an anomaly there than anything we would expect to see repeat, but certainly the product's backed away from the growth trajectory that it used to be on. We are working our way through that agreement. We have some milestones coming up in this agreement. We have some decisions to make there, but we're also trying to be as constructive as we can with the team we have right now from our side and with Tiger. And like I said, I think we are making some pretty nice and significant progress there. So it all remains to be seen, you know, exactly what we're going to do. Obviously, it can't stay the way it was for the second half of the year. You know, some things have to change, but we are also seeing some changes already take place there.
Ross Osborn: Sounds great. Congrats again on the really strong start of EluPro. Excited for 2025.
Operator: Thank you. And our next question comes from Frank Takkinen with Lake Street Capital Markets. Please state your question.
Frank Takkinen: Great. Hey, Randy. Hey, Matt. Thanks for taking the questions. I was hoping to start with one around kind of distribution partners. Obviously, you have the agreement with Boston that we've talked about on this call. Is that agreement structured as such that you could establish agreements with some of the other pacemaker players and expand your distribution capability that route?
Randy Mills: It is, Frank.
Frank Takkinen: Okay. And is that something you've considered pursuing, or at this point, is it Boston first and then see how the demand comes from that and maybe think about that at a later date and time?
Randy Mills: Right now, we have a tremendous amount of demand from our own team, and now we're adding on Boston. And so from a business development standpoint, we're in a number of different discussions. But for right now, that certainly fills our dance card with regards to demand that we think we can appropriately handle. There's also different strategic reasons on why we might do one versus the other. But we have the flexibility to do it, but it's a more complicated series of questions than just that. But from a distribution standpoint, from a caring about growing the product and really establishing it, we think we're in really, really good shape with us partnering with Boston Scientific right now to do that.
Frank Takkinen: Okay. That's helpful. And then from an active ordering account perspective, we've got a couple goalposts. Obviously, you've got a hundred active now, 400 Kangaroo, 500 getting over 500 implants, and then the broader market of 1,400 over a hundred implants per year. Maybe talk through the cadence of expectations around how new account additions will occur throughout 2025.
Randy Mills: Yeah. You know, so we were clicking along or we are clicking along at about 15 a month right now. I do think it's unrealistic to think it will probably keep that pace up for the whole year, but there's sort of two things that are going on. One is there's just the sort of the law of averages. So if you go submit 200 VAC applications, and there's a six-month cycle time for a VAC, a hundred of those are gonna be less than six months. You know, they're gonna be faster than the average. But a hundred of those are gonna be longer than six months. And so we will just be running into VACs that take longer. We, you know, we said sort of all along, we thought this would be the gating item. And they're not all gonna go as fast as certainly we would like them to move and as the physicians would like to move. So that will be something that will be sort of tugging on how fast we can get them signed up. The thing that's gonna be pulling in the other direction is, you know, having a partner like Boston Scientific pulling us into those accounts where their reps are actively engaged in helping and doing that. We'll obviously, you know, that's a lot of help to be able to bring to the problem. And so we think that'll be helping on the plus side. But in general, it will probably back down a little bit off the pace that, you know, we started on, but maybe that's just being conservative. We'll see how it goes.
Frank Takkinen: Okay. That's helpful. And then just last one from me, one for Matt. I was hoping you could talk a little bit about the cash burn in the quarter. Could you parse out kind of operational cash burn from the business versus litigation pay down and then maybe update around litigation expectations for 2025 would be helpful as well.
Matthew Ferguson: Yeah. Sure. Well, I'll tell you, you know, I'll share with you what I can. A lot of that is, one, hard to forecast and also something that, you know, we don't want to get into too much detail for, you know, all these cases are ongoing, some of them more active than others. But, you know, what you'll see even just looking at our balance sheet, you'll see that at the end of the third quarter, we had a liability related to the fiber cell litigation. And, again, for those people who aren't familiar with it, this is part of our company that we sold off in 2023. But we, you know, we retained some of that negative fee litigation associated with it. So we have a liability of a little over $20 million at that stage, and at the end of the year, it was down at about $15.9 million was the number. And so, you know, some pretty healthy reduction in the overall liability in terms of the number of cases. We had 79 outstanding at the end of Q3. Some of those were settled, but not yet paid for. At the end of the year, we were actually down to 43 that have not yet been settled. So we're really, I think, you know, we're making really significant progress putting all of this behind us. There is still more work to be done, but, you know, a lot of what we did in the fourth quarter was resolve cases that had trial dates that would otherwise have been coming up at some point during 2025, which, you know, I think it's probably a good thing for everyone, both us and the people on the other side of those cases that we didn't have those actual trials take place. Very costly and just not productive to go through that. And there are a few of those still remaining in the year that we'll try to go through a similar process with, and I expect we'll be successful with that. Then others that are, you know, further out that don't have anything scheduled. So I guess the last quarter was particularly active. You know, there will still be some activity in 2025, certainly. But, you know, but it should be declining, I think, from where it was in Q4.
Frank Takkinen: Okay. That's helpful. Thanks, and congrats on all the progress.
Matthew Ferguson: Thanks, Frank.
Operator: Thank you. And ladies and gentlemen, that was our last question for today. So with that, we will conclude today's conference call. All parties may now disconnect and have a great evening. Thank you.